Operator: Good morning. My name is Tammy and I will be your conference operator today. At this time, I would like to welcome everyone to the Enable Midstream Fourth Quarter 2020 Earnings Conference Call and Webcast. All lines have been placed on mute to prevent any background noise. Thank you. Mr. Matt Beasley, you may begin your conference. 
Matt Beasley: Thank you and good morning everyone. Presenting on this morning's call are Rod Sailor, our President and CEO; and John Laws, our Chief Financial Officer. Earlier this morning, we issued our earnings press release and filed our Form 10-K with the SEC. Our earnings press release Form, 10-K filing, and the presentation that accompanies this call are all available in the Investor Relations section of our website. We will also be posting a replay of today's call to the site.
Rod Sailor: Thanks Matt. Good morning and thank you for joining us today. I will begin my remarks on slide four with an overview of last week's announcement that Enable and Energy Transfer have entered into a merger agreement where Energy Transfer will acquire Enable in a $7 billion transaction. As you know Energy Transfer is one of America's largest and most diversified midstream energy companies. Energy Transfer has assets in all major producing basins and transports a significant portion of oil natural gas, natural gas liquids, and crude oil produced in the United States. The combination of complementary assets provides scope and scale with basin, commodity, and customer diversity which have been key elements of Enable's long-term strategic goals. Enable's transportation and storage assets complement Energy Transfer's vast interstate and intrastate pipeline system. Enable's pipeline assets in the Mid-Continent and Ark-La-Tex regions already interconnect with Energy Transfer pipelines including Midcontinent Express, Trunkline, Panhandle Eastern Pipeline, Florida Gas Transmission, Houston Pipeline, and Regency. Combining Enable's gathering and processing assets with Energy Transfer's assets will provide additional scale in key basins. Enable and Energy Transfer's gathering and processing assets are already connected to each other through our Wildcat project which links Enable's Anadarko Basin gathering systems to Energy Transfer's gathering, processing, and transportation assets in Texas.
John Laws: Thank you, Rod, and good morning, everyone. I will now cover a few of our key operational and financial metrics for the quarter and year. As always, you can find a more detailed and comprehensive overview of our financial and operational results in our fourth quarter earnings release and in our 10-K, both of which were released earlier this morning. Turning to our operational performance overview slide, our natural gas gathered processed transported and crude oil and condensate gathered volumes saw decreases compared to the full year of 2019, primarily as a result of lower gathered volumes across all basins, inclusive of producer shut-ins in the Anadarko Basin that ended in the third quarter.
Rod Sailor: Thanks, John. I am very proud of everything we have accomplished this past year. The challenges we faced and overcame demonstrate the strength of our employees and their dedication to each other and to providing critical energy infrastructure services. Enable's mission is to be a partner in your success and that has never been better demonstrated than by our response to the weather over the past few weeks and our commitment to our customers and communities. Please stay safe and have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.
End of Q&A: